Operator: Ladies and gentlemen, thank you for standing by and welcome to the Materialise Q2 2021 Financial Results Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your host, Ms. Harriet Fried of LHA. Ms. Fried, please go ahead.
Harriet Fried: Thank you for joining us today for Materialise's quarterly conference call. With us on the call are; Fried Vancraen, Founder and Chief Executive Officer of Materialise; Peter Leys, Executive Chairman; and Johan Albrecht, Chief Financial Officer. Today's call and webcast are being accompanied by a slide presentation that reviews Materialise's strategic, financial and operational performance for the second quarter of 2021. To access the slides if you have not already done so, please go to the Investor Relations' section of the company's website at www.materialise.com. For earnings release that was issued earlier today can also be found there. Before we begin, I'd like to remind you that management may make forward-looking statements regarding the company's plans, expectations and growth prospects, among other things. These forward-looking statements are subject to known and unknown certainty - uncertainties and risks that could cause actual results to differ materially from the expectations expressed, including competitive dynamics and industry change. Any forward-looking statements, including those related to the company's future results and activity represent management's estimates as of today, and should not be relied upon as representing their estimates as of any subsequent day. Management disclaims any duty to update or revise any forward-looking statements to reflect future events or changes in expectations. A more detailed description of the risks and uncertainties and other factors that could impact the company's future business or financial results can be found in the company's most recent annual report on Form 20-F filed with the SEC. Finally, management will discuss certain non-IFRS measures on today's call. A reconciliation table is contained in the earnings release and also at the end of the slide presentation. And with that, I'd like to turn the call over to Peter Leys. Peter?
Peter Leys: Thank you, Harriet and thank you everyone for joining us today. You can find the agenda for our call on Slide 3. As the first item on our agenda, I will summarize the highlights of our financial results for the second quarter of 2021. Then, I will pass the floor to Fried, who will give you more insights into our current intentions with respect to the use of the proceeds that we raised earlier this month. After that, Johan will walk you through our second quarter numbers in more detail. Finally, I will come back and give you some observations about what we currently believe the rest of the year may bring. And when we've completed our prepared remarks, we will be happy to respond to any questions that you may have. So, let's turn to Slide 4, which summarizes the highlights of our financial results. Quarter-over-quarter, our revenues grew 33% to EUR 50.7 million, and our adjusted EBITDA more than doubled to EUR 6.9 million. These results are, we believe, excellent. Of course, the second quarter of 2020, the benchmark was the quarter in which our business as a whole suffered the most from the COVID-19 crisis. As a result, while the comparison between last year's and this year's second quarter remains very relevant. It may provide the less insights into our current performance than the insights that quarter-to-quarter comparisons provide in more normal circumstances. Therefore, internally, in 2021, we also benchmarked our results against the previous quarter to better understand the trends where our business is going in the short-term, as well as against the same period of 2019 which we believe is a better reference periods than the horrible year 2020. So I would like to share some of the conclusions of these additional benchmarking exercises with you. On a sequential basis, compared to the first quarter of 2021, our revenues grew by 11.3% and our adjusted EBITDA increased by a stunning 13%. But only through these numbers confirm that our business is recovering from the crisis. They also show the recovery is happening at a swift pace that is in fact faster than what we had expected only a few months ago. Importantly, our second quarter revenues and adjusted EBITDA also increased when you compare them with our results of the same period in 2019. To be more precise, our revenues grew by 5% and our adjusted EBITDA increased 37%. This tells us not only that we are swiftly recovering from the crisis, but in fact that we are back on the track of posting genuine and healthy growth. These we believe, very solid and promising results underscore what we have explained during our recent capital increase. The newly raised funds will not just be used to help us recover or to help us return to growth, which are things that we are already experiencing today. In fact, we intend to use these funds to further accelerate the key growth drivers of our business. In particular, the continued rollout of our Magics and Mimics software platforms, the expansion of our presence in the CMF markets and the go-to-market of our wearables platforms in general, and of Materialise Motion in particular. And with that, I would now like to pass the floor to Fried, who will explain our current intentions with respect to the use of proceeds in more detail. Fried?
Fried Vancraen: Thank you, Peter. Indeed, we intend to allocate the bulk of the proceeds we raised to the key growth drivers that we discussed at length during our last earnings call. And let me briefly reiterate what these are. First, we will continue to invest in the expansion and innovation of our two market-leading horizontal software platforms, Magics and Mimics. The Magics platform, as you know, enables users of AM technology to be more productive, more cost efficient and more sustainable. The sales of our Magics flagship product remains strong throughout and better than Mimics and show again considerable growth in Q2. We are currently in the process of adding more extensive process planning and manufacturing execution functionality to our platform. And we are also making many Magics functionalities accessible through the cloud. Both initiatives are intended to further expand our market share, and to make our solutions even more relevant in developing and part manufacturing market. As many of you know, we believe we can significantly accelerate these efforts through the acquisition of the Link3D later this year that we intend to finance entirely from our balance sheet. The Mimics Care and Innovation Suite help researchers, medical device companies and hospitals to engineer on the human anatomy, which in a number of instances will lead to the 3D printing of unique anatomical models and personalized medical devices. Over the last couple of years, the successful introduction of our Mimics platform in hospitals has contributed significantly to the overall success of our Medical segment. We are currently in the process of developing additional Artificial Intelligence functionality for Mimics and intent also to introduce Augmented Reality and Virtual Reality functionality to the Mimics Suite. Today, we are developing these new features internally. With the funds raised, we intend to increase our internal development capacity and do not exclude that we also undertake other initiatives and if they could speed up some of these developments. Second, in addition to the software platforms, Materialise empowers the limited number of specific meaningful applications of 3D printing, both in Medical and in Paramedical fields. Our current so called, key verticals are situated in the orthopedics, CMF, footwear and eyewear markets. Each of those verticals, in particular say, MMF footwear have shown significant growth recently, and we intend to continue to invest in initiatives that will accelerate that growth. We bring our CMF product portfolio to the market mainly through our partner, Johnson & Johnson. The success of our CMF personalization platform is an important contributor to the overall success of our Medical segment. The acquisition of Engimplan in Brazil in 2019 allowed us to expand our product portfolio in CMF and to also be more present in markets where our partner has less focus. With the funds for the recent capital increase, we intend to continue to invest in success of our partnership with Johnson & Johnson and also to look at M&A active opportunities that offer synergies similar to the strategic fit that Engimplan offers. We have been active in the Footwear market in particular, the design and production of personalized insole since 2009 - 2014 through the joint venture, RS Print. In 2020, we acquired 100% of the shares of RS Print and also substantially all assets of RSscan. The company that makes pressure plates and related software. As a result, we now have complete One-Stop-Shop product offering for personalized insoles. This solution is unique and present to effective in the sense that it takes the dynamic aspect of the foot into account on a scientifically substantiated basis. Here also, we intend to increase our expenditures and investments, in particular with a view to accelerating our go-to-market. In the Eyewear markets, we have built a dedicated eyewear additive manufacturing line in Poland and have our own dedicated sales force that is active in Europe. We have a number of ongoing initiatives that relate to the day to customer journey preceding the choice and/or the production on things. Although from the physical production and the integration of the customer journey, we do not exclude M&A activity. Finally, we moved into a new Metal 3D Printing center in Bremen, in Germany, in the first quarter of 2021. The official opening is planned for October 7th. Metal is one of the growth drivers of our manufacturing unit. While we expect continuous growth of that particular subsegment of Materialise manufacturing, we do not plan any M&A activity in that area. And with this, we do intend to intensify our partnership collaborations with metal machine manufacturers to achieve seamless and highly automated metal 3d printing workflows in the new facility, which will also benefit Materialise software. To conclude, Materialise is coming out of the corona crisis with renewed growth in our key focus areas and with the solid and strengthened balance sheet that will allow us to accelerate the growth with internal as well as external initiatives. And Johan will now provide you the numbers that prove the statement.
Johan Albrecht: Thank you, Fried. I'll begin with a brief review of our consolidated revenue on Slide 6. As a reminder, when we refer to sales in our presentation, we mean revenues plus deferred revenues. Also please note that, unless otherwise stated, comparisons in this call are against our results for the second quarter of 2020. Like Fried said earlier, because the second quarter of 2020 was very significantly impacted by the COVID-19 crisis, that sometimes referred to 2019 to make the figures more comparable. Revenue was EUR 50.7 million for the period, 33% above the level over the same period last year. The positive growth took place in all three segments, the growth in our Software segment was 5%, our Medical segment grew 50%, our revenue in manufacturing increased 39%. Compared to the second quarter of 2019, our overall revenue grew by 5% driven by a healthy growth of 8% in Software, and a very strong 21% revenue increase in Medical. Manufacturing revenues were 5% lower in Q2 2021 than in 2019, but recovered 22% for the first quarter of 2021. Importantly, deferred revenues from software license and maintenance fees increased by EUR 1.7 million, compared to the end of last year. Further underscoring the strong Software sales performance within both our Software and our Medical segments in the second quarter. For the second quarter of 2021, Materialise Software accounted for 20% of our total revenue, Materialise Medical for 34% and Materialise Manufacturing for 46%. Cross segment revenue from software products represented 31% of our total revenue. Moving to Slide 7, you will see our consolidated adjusted EBITDA numbers for the second quarter. Consolidated adjusted EBITDA more than doubled, increasing from EUR 3,382,000 last year to EUR 6,925,000 this period. Where our revenue grew 5% compared to 2019, EBITDA grew 37%. This increase compared to 2019 was a result of a variety of positive factors. First, our revenue growth. Second, an improved gross margin triggered by increased insourcing and continuous productivity improvements. And thirdly, disciplined spending, in particular with respect to overhead. Importantly, the increase of our EBITDA will not come at the expense of our R&D spending, which actually increased by 12% compared to Q2 2019. And the initiatives to enhance our internal business application platform continue and are still on track. Slide 8 summarizes the results of our Materialise Software segment. Software revenue increased 5.2% to EUR 10 million and 7.6% compared to Q2 2019. Differed revenue grew an additional EUR 0.5 million. The recurrent sales increased 24% but were offset by a smaller usage of differed revenue from license and maintenance fees compared to last year. Non-recurring revenue increased 13% driven by new perpetual license fees and royalty income. EBITDA margin was 31.2% or EUR 3.1 million compared to EUR 3.8 million. As a segment did not receive governmental support as we did last year, ratio of cost growth and rate together with the increased efforts in R&D in our digital transformation project of our EBITDA. Nevertheless, this quarter's EBITDA was 52% or EUR 1.1 million higher than in Q2 2019. Moving now to Slide 9, you will see the total revenue in our Materialise Medical segment increased by over 50% to EUR 17.5 million. More meaningful is a 21% growth compared to the pre-pandemic second quarter of 2019. Revenue from Medical softwares, sales grew 16% compared to 2019, where revenue from Medical Devices and Services increased 23% compared to Q2 2019. Revenue from Medical Software sales accounted for 31% of the segment revenue. Adjusted EBITDA not only quadrupled to EUR 4.5 million from EUR 1.1 million, but was also 65% higher than in Q2 2019. The combined result have continued top line growth, production efficiencies, insourcing programs and lowered operating expenses, the EBITDA margin increased to 26% from 10% last year and 90% in Q2 2019. This all, while we accelerated the execution of our R&D programs. Now let us turn to Slide 10 for an overview of the Q2 performance of our Materialise Manufacturing segment. Revenue increased 39% or EUR 6.5 million to EUR 23.3 million. Importantly, revenue also increased 22% or more than EUR 4 million from the first quarter of this year as you were able to translate the positive signs that we noted in the previous quarter, in particular from Automotive and Industrial Clients segments into effective revenue growth. Adjusted EBITDA for the quarter close to EUR 1,850,000 million compared to EUR 650,000 million in 2020. As a level of capacity usage increased gross margin return to pre-Corona levels, operating expenses remained 3% below Q2 2019. As a result, EBITDA margin improved to 8% from 4% last year. Slide 11 provides the highlights of our income statement for the second quarter. Gross profit margin grew to 56.1% from 52.3% and 54.8% in Q2 2019. The solid margin was due to the increased revenue, the higher level of capacity usage and productivity improvement in all of our segments. Operating expenses increased 18.3% compared to last year's quarter, when approximately 20% remuneration cost was saved through various government support programs. Our sales and marketing spending increased 18%, G&A expenditures increased by 23% and research and development expenses, which maintained with the existing levels throughout the crisis were EUR 6.8 million or EUR 800,000 higher than last year's quarter. This quarter's net operating income was EUR 843,000 compared to EUR 892,000 last year. As a result of all these elements, the Group's operating profit was EUR 2,421,000 million compared to an operating loss of EUR 1.9 million in last year's [technical difficulty] and compared to 2019, a small - where we noted a EUR 36,000 of small result. Our financial result was positive EUR 1.2 million, compared to a negative EUR 300,000 in the previous period. In the previous year, the result includes currency exchange gains of EUR 2.1 million, including all the portion of the funds we raised during the quarter. The second quarter of 2021, contained income tax expenses of EUR 131,000 compared to a positive EUR 191,000 in the second quarter of 2020. Net profit for the quarter was EUR 3,443,000 million, compared to a net loss of EUR - 969,000 for the 2020 period. Now, please turn to Slide 12 for the recap of balance sheet and cash flow highlights. In June 2021, our balance sheet was boosted by the capital increase of EUR 74.3 million from the issuance of 4 million new shares. This excludes a USD 14.4 million gross proceeds from the issuance of 600,000. Additional new shares following the full exercise of the green-shoe in July. At June 30th, our cash amounted to EUR 182.8 million, compared to EUR 111.5 million at the end of last year. But our borrowings position decreased by EUR 8.2 million to EUR 106.8 million. Of the EUR 18.7 million of our debt were short-term as end of June, excluding the capital increase, our non-cash position improved EUR 4.8 million in Q2 2021. Equity increased EUR 75.7 million to EUR 208.8 million as a combined result of the capital increase of EUR 74.3 million, the first six months net loss amounting to EUR 200,000 and a positive conversion differences of EUR 1.5 million. Total deferred revenue amounted to EUR 27.2 million, an increase of EUR 2.3 million compared to December 31st, 2020. Of the EUR 37.2 million, EUR 32 million were related to annual software sales and maintenance contracts versus EUR 30.2 million as of end of last year. Cash flow from operating activities for the second quarter of 2021 were EUR 8.9 million, compared to EUR 7 million for the 2020 period. This quarter, our cash operating cash flow consisted of EBITDA of EUR 7.3 million, where our working capital improved EUR 1.6 million. Capital expenditures for the quarter amounted to EUR 2 million were not financed. The financial investment of Q2 2021, included the USD 2 million option price and a USD 1.1 million working capital loan paid to Link3D in line with the announcement made in our last earnings - call. Peter?
Peter Leys: Thank you, Johan. If you could kindly turn the page to Slide 13. And before opening the floor to questions, we would like to try and give you some insights in what we currently believe the remainder of 2021 may bring. We currently see a positive, albeit fragile and fairly diverse global trend of businesses gradually recovering from the pandemic crisis. Assuming that this strength continues in the right direction over the next few months, we currently expect our consolidated revenues for the entire year 2021 to exceed the level that they reached in 2019, which was close to EUR 197 million. We also see a likelihood of our revenues come to close to EUR 200 million. This would represent a growth compared to 2020 between 15% and 17%. As is traditionally the case for our business, we expect that the majority of the revenues of the second half of this year will come from a particularly strong fourth quarter. As our revenues grow, we intend to increase our operational expenses accordingly with a view to accelerating our growth in the near future, fully in line with what we explained earlier. Therefore, we currently believe that adjusted EBITDA for the full year 2021 will reach up to EUR 25 million. And with this, I would like to conclude our prepared remarks. So, operator, please go ahead and open the call to questions.
Operator: Thank you. [Operator Instructions] Our first question will come from Jason Celino with KeyBanc. One moment, please go ahead.
Jason Celino: Hi, thanks for taking my questions.
Peter Leys: Hey, Jason.
Jason Celino: You know, for my first one, you know, when you say the recovering end markets is happening, you know, more swiftly than expected. Now, that's definitely good to see but maybe from a linearity perspective, how did this develop, you know, through the quarter? Was it more immediate or is just the confidence from the quarter as a whole?
Fried Vancraen: Yeah and of course, we cover multiple markets and overall the trend is - has been positive throughout the quarter. Certainly as our numbers show in Medical, we have seen a continuous increase in sales. But that was also true for Software. The only market that is still relatively unstable is the Automotive market, which is no longer suffering from COVID we assume, but as many of you know, is suffering from supply chain problems and is still in a very unstable phase.
Jason Celino: Okay. And then for my second question, you know, as it relates to the to the commentary for the end of the year, you know, you mentioned that you could exceed, you know, 2019 you know, revenue levels, but as it relates to the Manufacturing segment, is this also a segment that could exceed 2019 levels? Thank you.
Peter Leys: Jason, as you see the past report as also in this quarter. I mean, we have continuously and also strategically been growing, in particular, our Software and Medical segments. And while Manufacturing has recovered, and we expect that it will continue to recover, but we do not expect that the mix between the three segments in 2021 will be the same as the mix that it was in 2019. I mean, as a result of the continuous exercise of our strategic priorities, we do expect that Software and, in particular, Medical will represent more important parts of the overall revenues.
Jason Celino: Great, thank you. Appreciate the color.
Peter Leys: Sure. Thank you.
Operator: [Operator Instructions] Our next question will come from Troy Jensen with Lake Street Capital. Please go ahead.
Troy Jensen: Hey, gentlemen, congrats on the nice results.
Peter Leys: Hey, Troy. Thank you.
Fried Vancraen: Thank you, Troy.
Johan Albrecht: Thank you.
Troy Jensen: And so I guess I got a few questions here. I guess so in [indiscernible] with digital manufacturing, it seems like you know, this past quarter or this you know, first half of this year has been a surge in interest rate and we've seen in Shapeways fathom and fast radius kind of all enter this market via Sfax. And really, they're just doing 3D printing and CNC and injection molding and they have some software right to automate that. And just curious your guys' thoughts. I mean, I know you're huge in 3D printing, I'm assuming you've got CNC and injection molding with ECT. And is this digital manufacturing or just manufacturing in general for you guys a segment an area that you think is going to be the growth driver?
Fried Vancraen: Well, Troy we really are fundamentally a 3D printing company and we intend to remain very focused on key core 3D printing applications, the meaningful applications as we have said so many times, which means that we do not intend to substantially broaden our scope to CNC machining and other conventional manufacturing technologies with digital source on top of it. So, I think there we differentiate in strategy from the companies you mentioned earlier.
Troy Jensen: Okay. Great staying in 3D space, I get it. And then software competition or Peter were you going to say something? Sorry. Right, I'll take down. So -
Fried Vancraen: As the numbers show and - yeah, that is only a 5% revenue increase in our Software segment, but this high 24% sales increase in our segment due to the deferred revenue that are associated with our recurring income flows. So we put the cash in already, but yeah, we have to spread it over the license periods, periods this means show that our software is still highly appreciated by our existing customer base where we see very high renewal rates. And on top compared to the same period last year, we more than doubled the amount of new users, which shows that our software is still high in demand and is not experiencing at this moment very negative effects from competition.
Troy Jensen: And so, Fried, I guess want to dig into that a little bit. I think it kind of have my question in there. But if you just look at software competition, it seems like that's kind of picked up. Fried I think you said dendrite and HP is kind of snuggling up together. You know, Shapeways is going to try to offer you know, kind of their software package to customers, your revenues on software has been flat, you know, December, March and June, I get your comment, you know, deferred revs grew, right. So sales are growing, but any concerns on some of these new entrants and competing, you know, more effectively, you'll see?
Fried Vancraen: Well, Troy we always have to be very respectful for competition and we have been so for now over 30 years, because we have always experienced competition. But we do believe that especially those new players have quite some hurdles to take. I do think they are very ambitious in addressing a very broad scope of software solutions which is hard to build up. And yeah, again, while we - do we have respect for their offerings and know that we have to be careful to yeah, swiftly accommodate with the new trends in the software industry. We believe we have a very solid base, we shouldn't be too afraid of competition.
Troy Jensen: Got you, very perfect. One last question I don't see the floor for either Peter or Johan. But I guess I'd just be curious on your thoughts in Q3 specifically. I mean, we've got typically it's the seasonally slower quarter, right, especially more in Europe you know offsetting that, you know, we've got, you know, just kind of the just general recovery happening. So, you know, I get the big Q4 you know typically happens, but your thoughts on sequentially what Q3 could look like?
Peter Leys: Yeah, thank you, Troy. I think it is a good question and when we articulated our guidance, we really wanted to emphasize that we expect Q4 that is not just traditionally the strongest quarter but also in terms of continuous sequential growth and further recovery, we see that more happening also in Q4 than in Q3. So we do expect to meet the EUR 200 million mark that we set there as an ambition that will mainly come from the fourth quarter, which basically means that you should not expect much growth from Q2 to Q3.
Troy Jensen: Perfect. Thanks, guys. Keep up the good work, gentlemen.
Johan Albrecht: If I can add maybe some - one more point to that, Troy is that, if you look at the guidance that Peter has given that does not include the effects of the Group of deferred revenue from maintenance and license fees, if - even if the - the Q4 is the traditional best quarter season on a seasonal basis, we also have there the effect of the Group of sales that we don't - that we cannot recognize as revenue here, but we expect also significant growth on that perspective.
Troy Jensen: Thank you -
Operator: And I'm showing no further questions in the queue at this time. I would now like to turn the call back over to Mr. Peter Leys for any further remarks.
Peter Leys: Thank you, operator. Thanks again to all of you for joining us today on the call. We obviously look forward to continuing our dialogue with you through investor conferences or in one-on-one virtual meetings of our calls. We will have a physical representation at Rapids in Chicago this year where Phits plans to be present. If you want to talk to Phits or other company representatives at Rapids, and have not yet reached out to us, then please feel free to do so. Thank you again and goodbye for now.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.